Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Jumia's Results Conference Call for the Fourth Quarter and Full Year 2023. At this time, all participants are in a listen-only mode. After management's prepared remarks, there will be a question-and-answer session. With us today are Francis Dufay, CEO of Jumia; and Antoine Maillet-Mezeray, Executive Vice President, Finance and Operations. We will start by covering the Safe Harbor. We would like to remind you that our discussions today will indicate forward-looking statements. Actual results may differ materially from those indicated in the forward-looking statements. Moreover, these forward-looking statements may speak only to our expectations as of today. We undertake no obligation to publicly update or revise these statements. For a discussion of some of the risk factors that could cause actual results to differ from the forward-looking statements expressed today, please see the risk factors section of our annual report on Form 20-F as published on May 16, 2023, as well as our other submissions with the SEC. In addition, on this call, we will refer to certain financial measures not reported in accordance with the IFRS. You can find reconciliations of these non-IFRS financial measures to the corresponding IFRS financial measures in our earnings press release, which is available on our Investor Relations website. With that, I will hand over to Francis.
Francis Dufay: Thank you. Welcome everyone and thanks for joining us today. 2023 has been a transformative year for Jumia. Upheavals on the global stage have had a significant impact on African economies and its people. High inflation rates and currency depreciations have led to scarcity of supply and have adversely impacted the purchasing power of consumers. These have been very challenging times for tech and retail businesses across the whole continent. Against that unsettling backdrop, we embarked on a fundamental transformation of our company in order to rapidly improve our financials and establish a stronger foundation for e-commerce business. This transformation obviously came with a painful short-term impact as we discontinued activities with poor growth prospects, stopped expensive marketing practices and radically streamlined our organization. These bold and early decisions have paid off in 2023, yet we still have some way to go. We closed 2023 in a much stronger position, looking at both financials and business fundamentals. Our adjusted EBITDA loss for the full year of '23 decreased to $58.2 million versus $182.1 million in '22 and steadily improving quarter-after-quarter. Our loss before tax from continuing operations for the full year of '23 decreased to $98.6 million from $206.2 million in '22. Most importantly, we saw a reduction in the pace of the decrease of our liquidity from $227.4 million in 2022 to $106.9 million in 2023, leaving us with a liquidity position of $120.6 million at the end of 2023. Although GMV for the full year of '23 declined by 20% and orders by 22% year-over-year, we have undergone a deep transformation of the company. We believe that this transformation will enable us to achieve growth again during 2024 with improved unit economics and lower cash utilization. We believe that we can meet these goals in 2024 thanks to the lessons we learned in 2023, particularly in the two following areas. First, we have seen that efficiency and better unit economics do not come at the expense of future growth. We believe that Jumia is now a much leaner, more agile and more focused company. We have reevaluated our portfolio and made tough decisions regarding business activities that did not bring the right value. Recently, we discontinued our food delivery operations as we concluded that the growth prospects did not justify the complexity it created. We believe our focus and resources would be better invested in our physical goods business where we see more opportunity for revenue growth and higher margins. We have achieved savings across the whole organization by shrinking general and administrative expense as well as significantly improving operational efficiency. We believe that these changes are enabling better output and laying the foundation for growth in '24. We experienced positive year-over-year growth in GMV of physical goods in five of our 11 operating countries over the full year of '23, accelerating over the second half while significantly improving our unit economics. Overall year-over-year GMV growth trends are improving quarter-after-quarter and we expect to be back to GMV and orders growth in 2024. Second important lesson that we've learned, I think we have proved that we can grow without disproportionate marketing spend. Based on our experience across 11 operating countries for over 10 years at Jumia, we believe that there is a lot of demand from African customers. However, this demand remains poorly served due to inconsistent supply and prices across different countries and cities. Our mission at Jumia is to bridge this gap between brands and suppliers on one hand and customers on the other hand. We are committed to building better supply in our priority categories which are phones, electronics, home and living, fashion and beauty by working closely with local and international sellers and global brands. Along with our strategic focus to improve supply in those priority categories, we have deliberately reduced our sales and advertising expense by 68% in the full year of 2023 and cut customers incentives such as vouchers and free shipping. This strategy has come across as quite unusual, as many took for granted that growth in the e-commerce business is more or less a function of marketing costs. We believe that 2023 results, and more specifically the improvement over the latest quarters, have shown that our strategy to reduce marketing expenditure while also pursuing top line growth is working in our African markets. Indeed, now looking at Q4 '23, after four consecutive quarters of consistently low marketing expenditure we believe that we have proven our case. In addition to GMV growth in selected countries, we have successfully run our usual Black Friday promotional event with very lean marketing budgets. This led to a significant quarter-over-quarter uplift in GMV orders and number of active customers. GMV reached $233 million, down 8% year-over-year, but growing significantly on a constant currency basis by 21%. Similarly, revenue reached $59 million, down 2% year-over-year, but up 28% in constant currency. On an important note, these sales trends were achieved while reducing sales and advertising expenditure by 63% versus Q4 '22. Economics have shown further improvement in Q4 with loss before tax income from continuing operations down to $17 million dollars decreasing by 62% year-over-year and 66% on a constant currency basis. The adjusted EBITDA loss was positively impacted by significant reduction in tax provisions in Q4. Our liquidity position decreased by $27 million over Q4 compared to $57 million reduction in Q4 '22. Q4 variation includes a negative $3.2 million impact from foreign exchange only. Continued improvement in growth trends quarter-after-quarter in '23, combined with further reduction in operational losses, give us confidence that our strategic choices are paying off. Looking at '24, we are fully committed to further reducing cash utilization versus '23 while following our strategy of bringing our business back to top line growth in both orders and GMV, excluding potential foreign exchange impact. To implement our strategy, we will continue to focus on our growth priorities in '24, which are consistent with our efforts in '23. In particular, we believe that there is still a significant amount of untapped potential for growth in all of our priority categories over the next several years. By executing consistently over time, we believe that we will be able to unlock substantial amounts of value. We see on the ground that the macro situation in several of our African markets is starting to recover and the latest IMF forecasts confirm improving GDP growth trends across our footprint in '24 and '25. In this context, we are confident that Jumia has never been in a better position to capture the unique opportunity of e-commerce in Africa. Moving on now, let's look into our usage trends in Q4 on Page 6. Quarterly active customers reached 2.3 million, down compared to Q4 '22, but growing quarter-over-quarter by 16%. The company received a total $6.6 million orders in Q4 '23, which is down 4% compared to Q4 '22, but up by 17% compared to Q3 '23. Quarter-over-quarter growth was driven by physical goods orders during our successful 2023 Black Friday campaign and yearend holiday period, while digital services remained stable quarter-after-quarter. GMV reached $233 million, down by 8% year-over-year, but significantly increasing on a constant currency basis by 21% and growing by 42% compared to the previous quarter. The year-over-year decrease in both quarterly active customers and orders is mostly driven by actions taken to improve our economics and refocus. We moved away from the most unprofitable categories and some expensive consumer incentives such as free shipping which would typically drive lots of low value orders. This refocus has impacted usage, but it was the right thing to do since we want to drive profitable growth. Looking at GMV, the year-over-year decrease is primarily due to FX impacts and we think our GMV growth in constant currency is an important measure of our performance. Looking at the evolution of usage over the last two quarters, we see very positive development. Year-over-year growth rates in quarterly active customers, orders and GMV have been consistently improving over the last two quarters, reflecting the impact of the actions taken to build what we believe to be the right long-term fundamentals of our business. Q4 performance in particular provides an important data point for us. Five countries were growing their GMV year-over-year in physical goods, both in actual dollars and on a constant currency basis for the second quarter in a row. These countries accounted for over half of our GMV from physical goods in Q4. Most importantly, we have delivered significant growth versus Q3 of '23 across all usage metrics, clearly showing our ability to drive sales uplifts, thanks to our new strategy. We managed to run a successful end of sales season with the much awaited Black Friday campaign and the ensuring Christmas season. The sales uplift achieved during Black Friday '23 is in line with past Black Friday events, proving that we can drive significant growth thanks to better supply while maintaining very conservative marketing expenditure. These improving usage trends throughout '23, combined with much healthier economics, give us confidence for 2024. Indeed, many strategic choices made in '23 will remain at the top of our agenda for '24 as we see them delivering more impact every quarter. We are not planning a major strategic pivot [ph] as we will mostly focus on executing consistently things that we know are working. The main highlight of our '24 strategy will be the following. Our primary focus is to execute our growth strategy and achieve healthy growth for the business. Building better supply in our priority categories, improving marketing efficiency and reaching out to customers in secondary cities are the fundamental areas we will remain focused on. These require consistent and strong execution over time. We will also have a special focus on our two biggest potential markets, Nigeria and Egypt, where we believe that we are well positioned for growth in '24. We made a few management changes in '23 in those countries and we are now fully reorganizing supply chain operations in both countries to become more efficient in our logistics and to be able to reach out to more customers. For example, we are soon moving warehouses in both countries. On the growth side, we have the same focus on supply in priority categories in Nigeria and Egypt as we have elsewhere, with strong commitment from brands, local distributors and international sellers. Despite microeconomic challenges in 2023 and 2024, we believe that Nigeria and Egypt still present massive opportunities for e-commerce in Jumia, in Africa, due to very large consumer demands. Let's now take a quick look at macroeconomic trends across our footprints. As explained over the past quarters, microeconomic trends remain challenging across Africa. However, we are increasingly confident now in our ability to operate, grow and reduce losses even in challenging environments. I shared three months ago the example of Ghana with one of the highest inflation rates across the continent, where we are now growing double digits year-over-year in both orders and GMV in Q4 '24. Looking at 2024, we have started to see signs of stabilization and recovery in several markets. This should, over time, make it easier for Jumia to source goods and should improve our customers' purchasing power. For example, in Nigeria, the government took a number of bold decisions over the past months on critical topics such as exchange rates and fuel subsidies that are expected to be net positive for the economy in the medium-term. The IMF forecasts an improvement in GDP growth in Nigeria in 2024 from 2.8% GDP growth in '23 to 3% in '24. Looking at the whole sub-Saharan Africa, the IMF is forecasting an acceleration from 3.3% to 3.8% GDP growth in 2024. Let's now look at our progress in building stronger priority categories in physical goods on Page 7. We have identified priority categories in which we want to succeed and become the top choice for consumers across our markets; phones, electronics, home and living, fashion and beauty. These categories were selected back in late '22 based on simple criteria; relevance to our consumers and market size, ability for Jumia to source supply based on our experience across the 11 countries and expected profitability of each segment, especially taking into consideration challenges in logistics. This exercise led to the de-prioritization of some categories such as groceries, where sourcing is complex and economics are very challenging for e-commerce. Our focus in 2023 was on developing a better supply chain across these categories using the most relevant methods in each market. Our main topics of attention, as explained last quarter, are seller experience improvements, better planning with key partners, more partnership with international brands such as Starlink, and better collaboration with our sellers based in China. In the last quarter of '23, we also captured a number of opportunities to import directly from key international brands in home and living and electronics, mainly in Egypt but also in Morocco. This gave us an edge in supply and pricing for B2C consumers as well as the opportunity to make corporate sales to distributors and smaller retailers. We are seeing the impact of these actions with a significant shift in our category mix over the course of 2023. The share of GMV from home and living and electronics has significantly increased. This is the result of clear focus, consistent execution and strong relationships with both international brands and local distributors. Fashion and beauty categories account for over half of our items sold and are instrumental in driving more frequent usage with healthy margins. We believe that there is still significant upside potential in improving supply, mainly from China via Jumia Global, as well as from several international fashion brands extending across Africa with Jumia. This shift in mix has led to an increase in average order value from $40.6 in Q4 '22 to $45.5 in Q4 '23. Although we do not set specific AOV targets, this increase is helping us to generate a greater profit per order after logistics. We are happy to see the early impact of our actions on supply. The priorities set for '23 to improve our value proposition in priority categories will remain at the top of the agenda for 2024 as well. Moving on to marketing efficiency now on Page 8. Improvement of our value proposition, in particular thanks to progress made with respect to our supply chain, allows us to drive growth in more healthy ways, especially on the marketing side. As explained in the previous calls, we have made significant changes in the way we use marketing at Jumia. Back in December '22, we decided to reduce sharply our expenditure in marketing and various consumer incentives such as free shipping. This decision might have come across as very unusual in the e-commerce industry, and many believed that we would start feeling the pain later in '23 when the delayed impact of high marketing spend in '22 would fade away. However, after four full quarters of greatly reduced marketing expenditure, the picture is becoming quite clear. First, the repurchase rates of new customers and physical goods has increased despite reduced amounts of consumer incentives, and this is very important because consumer incentives such as vouchers and free shipping used to be used a lot to stimulate more frequent purchases. The 30 days repurchase rate of our Q4 '23 cohorts for new customers across all categories has increased by 1 percentage point compared to the same cohort of '22. Even better, the 90 days repurchase rate for our cohort of Q3 '23 for new customers across all categories has increased by 3 percentage points compared to the same cohort of 2022. While in Q4 '22, 43% of our orders benefited from consumer incentives, mainly vouchers, free shipping, or direct price subsidies, only 28% benefited from such schemes in Q4 '23. Second, our share of visits from what we call free channels on physical goods has consistently increased, reaching 49% in Q4 '23 versus 41% in Q4 '22. Free channels include customer relationship management, search engine optimization, and direct traffic. This is the result of several quarters of focus on better CRM and SEO execution. And finally, we have secured significant savings. Sales and advertising expense decreased from $16.8 million in Q4 '22 to $6.2 million in Q4 '23, and consumer incentives decreased from $5.3 million to $2.5 million. Most importantly, overall usage trends kept on improving while we maintained low level of marketing expenditure. We expect to continue on the same path in 2024 and reap the benefits of consistent execution on assortments and efficient marketing channels. Let's now look at recent developments on JumiaPay on Page 9. As explained previously, we have decided to focus primarily on making JumiaPay an effective enabler of our e-commerce business. We are working towards this objective in several ways. First, we are integrating more relevant payment methods for customers to complete their orders on Jumia platforms and continuously improving user experience. For example, we work on reducing the number of steps to validate a payment, reducing processing time and increasing success rates. Second, we are rolling out JumiaPay on delivery. This feature allows customers to pay digitally upon delivery of their order, thus reducing the need for cash. After successful implementation in Kenya, we are rolling out in Nigeria where we believe that over 50% of transactions could become cashless by the end of the year. These are developments with far reaching consequences, helping us to simplify our operations by reducing the amount of cash that we have to manage. And third, we are developing what we call Buy Now Pay Later solutions in partnership with third-party credit providers to support purchases on our platform. Through JumiaPay, our customers can access consumer finance options offered by third-party partners who are responsible for credit underwriting and loan disbursements. Such payment methods are already easily available in Egypt and we believe that there is great potential across sub-Saharan Africa to boost categories with high value items such as phones and large appliances. As a result, we have seen constant progress in the share of physical goods transactions paid through JumiaPay from 18.8% in Q4 '22 to 27.7% in Q4 '23. We see this evolution as an indicator of the progress made in developing better payment experience for our customers. Total JumiaPay transactions increased year-over-year by 41% in Q4 '23, driven by an increase in orders on the JumiaPay app, thanks to some promotional activities. JumiaPay TPV is down 10% year-over-year and up 32% on a constant currency basis, reflecting a few variations in Nigeria and Egypt. I will now hand over to Antoine who will walk you through our financials.
Antoine Maillet-Mezeray: Thanks Francis. Hello everyone. Let's start with a review of our top line performance. Revenue breakdown. Revenue reached $59.4 million in Q4 '23, down 2% [ph] year-on-year and up 28% on a constant currency basis. Revenue from first party sales was $26.1 million, up 16% year-on-year and 44% on a constant currency basis. Marketplace revenue reached $32.9 million in Q4 '23, down 10% year-on-year and up 22% on a constant currency basis. While foreign exchange effects were a significant headwind to revenue performance, we experienced growth in commissions within our marketplace revenue and in first party sales, driven by growth in corporate sales to local and regional retailers, distributors and other corporate buyers in selected countries, primarily Egypt. Turning now to gross profits. Gross profit reached $37.1 million in Q4 '23, down 1% year-on-year and up 36% on a constant currency basis. Gross profit as a percentage of GMV reached 16% compared to 15% in Q4 '22, supported by improved margins and reduced spending on customer incentives and promotions. Let's now move to cost where we continue making significant progress. Fulfillment expense amounted to $11.7 million, down 37% year-on-year and 16% on a constant currency basis. Fulfillment expense per order, excluding JumiaPay app orders, which do not include logistics cost, decreased by 26% year-on-year from US$3.2 in Q4 '22 to US$2.3 in Q4 '23, reflecting a decrease of 2% on a constant currency basis. As a percentage of GMV fulfillment expense improved from 7.4% to 5%. This consistent improvement reaffirms the significance of our ongoing logistics transformation as we continue to build upon the success of our logistics optimization initiatives. These include a higher share of pickup station deliveries, which increased from 37% of shipped physical goods orders in Q4 '22 to 48% in Q4 '23. We persist in our strategic expansion of the pickup station network to penetrate undertapped areas of the market in a cost effective manner. We've expanded our footprint beyond main cities, enhanced warehousing staff productivity, reduced packaging cost along with many other initiatives. This improvement in efficiency illustrates our ability to capture savings across our logistics chain, while strategically expanding our logistics footprint outside of the main cities and improving our customer experience. Sales and advertising expense amounted to $6.2 million in Q4 '23, down 63% year-on-year and 49% on a constant currency basis, as we continue bringing discipline to our marketing spending. We see a clear improvement in our marketing efficiency ratios with sales and advertising expense per order decreasing by 61% from 2.4 in Q4 '22 to 0.9 in Q4 '23. As a percentage of GMV, sales and advertising expense reached 2.7% in Q4 '23, which is almost a 400 basis point improvement year-on-year. This reduction in sales and advertising expense reflects our strategy to build a stronger customer value proposition that emphasize better supply of physical goods and geographical reach over costly market campaigns and promotions. We believe that this is the most relevant and viable approach to our African market. We have already experienced positive developments across five markets where physical goods GMV is growing year-on-year for two consecutive quarters despite significantly reduced marketing expenditures. Moving on to technology and content. Tech and content expense reached $9.9 million in Q4 '23, down 28% year-on-year both as reported and on a constant currency basis. While we have meaningfully reduced cost in the last year, we remain committed to driving further savings in the future. Our efforts to rationalize infrastructure and software costs and staff structure are ongoing and we see additional opportunities for efficiency. These include locating an increased share of our developers and tech personnel in Africa closer to our customers and sellers. Technology is a core part of our DNA and we remain committed to developing better products and features to improve the experience of all participants on our platform. G&A expense, excluding share based compensation reached $12.3 million in Q4 '23, down 62% year-on-year and 54% on a constant currency basis. This decrease was primarily driven by a significant reduction in tax provisions, including a $9 million beneficial impact from a provision released during the quarter. The staff cost within our G&A expense, excluding share based compensation expense, decreased by 17% year-on-year as we captured further efficiency gains to the organizational changes that have been implemented. Moving on to balance sheet and cash flow items. CapEx in Q4 '23 was 0.8 as we remain committed to an asset light model. Our liquidity position reached $120.6 million, comprised of $35.5 million in cash and cash equivalent and $85.1 million in term deposits and other financial assets. Our liquidity position in Q3 '23 amounted to $147.4 million, which marks a decrease of $26.8 million in Q4 '23 compared to a decrease of $57.3 million in Q4 '22 and a decrease of $18.9 million in Q3 '23. Our liquidity position at the end of '22 was $227.4 million, which marks a decrease of $106.9 million in 2023 compared to a decrease of $285.4 million in '22. The reduction in the pace of the decrease of our liquidity illustrates our efforts to preserve our available cash resources. Foreign exchange has been a significant headwind to our liquidity position, contributing to a negative impact of $3.2 million in Q4 '23 compared to a negative impact of $2.1 million in Q4 '22. The negative impact of foreign exchange movements on our reported liquidity position amounted to $18.2 million in '23 compared to $8.8 million in '22. Net cash flow used in operating activities reached $10.3 million in Q4 '23, down by 80% compared to the same period in '22. I now hand over to Francis, who will walk you through our guidance.
Francis Dufay: Thanks Antoine. Considering the strong progress made over the latest quarters, we are committed to reducing our losses and accelerating our progress towards cash efficiency and profitable growth. Looking at 2024 first, we aim to further reduce our cash utilization compared to 2023. Second based on the positive impact of our growth strategy, we project an increase in both orders and gross merchandise value, GMV, in 2024, excluding potential foreign exchange impact. In a nutshell, our medium-term strategy remains focused on getting to the appropriate cost base with a view to breaking even with top line growth that we can attain. Top line growth will come from building a stronger value proposition and will not happen at the expense of efficiency. We believe that our strategy is the most relevant for our markets and that consistent and quick execution is critical. More than ever, we believe that we are well positioned to capture the opportunity of e-commerce on the African continent in a profitable manner. With that, we are ready to take questions.
Operator: Okay, we will open the floor for questions. [Operator Instructions] Okay, we don't appear to have any questions in the queue. I can now hand back over to Francis and Antoine for any closing comments.
Francis Dufay: I think we're done. Thank you everyone for attending.
Operator: Thank you very much, everybody. This does conclude today's conference. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.
 :
 :